Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's 4Q '24 Earnings Conference Call. We would like to inform you that the 4Q '24 press release is available to download at the Investor Relations website of Banco Macro, www.macro.com.ar/relaciones-inversores. Also, this event is being recorded. And all participants will be in listen-only mode during the company's presentation. After the company's remarks are completed there will be a question-and-answer session at that time further instructions will be given. [Operator Instructions]. It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Jorge Scarinci, Chief Financial Officer; and Mr. Nicolas Torres, IR. Now I will turn the conference over to Mr. Nicolas Torres. You may begin your conference, sir.
Nicolas Torres: Thank you. Good morning, and welcome to Banco Macro's fourth quarter 2024 conference call. Any comments we may make today may include forward-looking statements, which are subject to various conditions, and these are outlined in our 20-F, which was filed to the SEC and is available at our website. Fourth quarter 2024 press release was distributed yesterday, and it's available at our website. All figures are in Argentine pesos and have been restated in terms of the measuring unit current at the end of the reporting period. As of 2020, the bank began reporting results applying hyperinflation accounting in accordance with IFRS IAS 29 as established by the Central Bank of Argentina. For ease of comparison, figures of previous quarters have been restated applying IAS 29 to reflect the accumulated effect of the inflation adjustment for each period through December 31, 2024. I will now briefly comment on the bank's fourth quarter 2024 financial results. In the fourth quarter of 2024, Banco Macro's net income totaled Ps. 102.2 billion. This result was 4% or Ps. 3.5 billion higher than in the third quarter of 2024. As of the fourth quarter of 2024, this result was mainly driven by lower net interest income, higher net fee income, higher net income from financial assets and liability fair value profit or loss and a lower result from the net monetary position as inflation eased during the quarter. The accumulated annualized return on average equity and the accumulated annualized return on average assets were 7.5% and 2.4%, respectively. In fiscal year 2024, net income totaled Ps. 325.1 billion, 74% lower than in fiscal year 2023. Total comprehensive income totaled Ps. 227.7 billion and was 83% lower than in fiscal year 2023. In the fourth quarter of 2024, operating income before general, administrative and personnel expenses totaled Ps. 813.9 billion, 9% or Ps. 81.9 billion lower than in the third quarter of 2024 due to lower income from interest on government securities. On a yearly basis, this result decreased 72% or Ps. 2.1 trillion. In fiscal year 2024, net operating income before general and administrative and personnel expenses totaled Ps. 4.6 trillion, 26% lower than in fiscal year 2023. In the fourth quarter of 2024, provision for loan losses totaled Ps. 37.5 billion, 51% or Ps. 12.7 billion higher than in the third quarter of 2024. On a yearly basis, provision for loan losses increased 5% or Ps. 2.1 billion. In fiscal year 2024, provision for loan losses totaled Ps. 109.4 billion and were 9% higher than in fiscal year 2023. In the quarter, net interest income totaled Ps. 532.6 billion, 13% or Ps. 82.2 billion lower than in the third quarter of 2024 and 33% or Ps. 132.6 billion higher year-on-year. This result is due to a 12% decrease in interest income and an 8% decrease in interest expense and a 32% decrease in income from interest from government securities. In fiscal year 2024, net interest income totaled Ps. 1.6 trillion and was 10% lower than in fiscal year 2023. Interest income decreased 34%, while interest expenses decreased 46%. In the fourth quarter of 2024, interest income totaled Ps. 819.1 billion, 12% or Ps. 107.3 billion lower than in the third quarter of 2024 and 34% or Ps. 429.3 billion lower than in the fourth quarter of 2023. In fiscal year 2024, interest income totaled Ps. 3.5 trillion, 34% lower than in fiscal year 2023. Income from interest on loans and other financing totaled Ps. 499.9 billion, 14% or Ps. 62 billion higher compared with the previous quarter, mainly due to a 16% increase in the average volume of private sector loans, which was partially offset by a 102 basis points decrease in the average lending rate. On a yearly basis, income from interest on loans decreased 39% or Ps. 326.4 billion. And in fiscal year 2024, income from interest on loans and other financing totaled Ps. 2.1 trillion, 15% lower than in fiscal year 2023. In the fourth quarter of 2024, interest on loans represented 61% of total interest income. In the fourth quarter of 2024, income from government and private securities decreased 32% or Ps. 148.3 billion quarter-on-quarter and increased 35% or Ps. 81 billion compared with the same period of last year. This result is explained 73% by income from government and private securities at amortized cost and the remaining 27% is explained by income from government securities valued at fair value to profit through other comprehensive income. In fiscal year 2024, income from government and private securities totaled Ps. 1.11 trillion, 54% lower than in fiscal year 2023. In the fourth quarter of 2024, income from repos totaled Ps. 444 million, 98% or Ps. 19.6 billion lower than the previous quarter and 100% or Ps. 182.8 billion lower than a year ago. It is worth noting that as July 22, 2024, the Central Bank decided to terminate repos and replace them with LEFIs, which are now issued by the treasury. In the fourth quarter of 2024, FX income was Ps. 18 billion which is lower than the previous quarter and 100% or Ps. 398.4 billion lower than a year ago. In the quarter, the Argentine peso depreciated 6.3% against the U.S. dollar. In fiscal year 2024, FX income totaled Ps. 163.2 billion, 91% lower than the result posted in fiscal year 2023, while the peso depreciated 27.7% in fiscal year 2024. In the fourth quarter of 2024, interest expense totaled Ps. 286.5 billion, decreasing 8% or Ps. 25.1 billion compared to the previous quarter and 66% or Ps. 561.9 billion lower compared to the fourth quarter of 2023. Within interest expenses, interest on deposits decreased 9% or Ps. 26.2 billion quarter-on-quarter due to a 208 basis points decrease in the average rate paid on deposits, while the average volume of deposits from the private sector increased 1%. On a yearly basis, interest on deposits decreased 67% or Ps. 550.9 billion. And in fiscal year 2024, interest expense totaled Ps. 1.8 trillion, which was 47% lower than in fiscal year 2023. In the fourth quarter of 2024, the bank's net interest margin, including FX, was 26.1%, lower than the 26.8% posted in the third quarter of 2024 and lower than 41.7% posted in the fourth quarter of 2023. In the fourth quarter of 2024, Banco Macro's net fee income totaled Ps. 139.9 billion, 6% or Ps. 7.6 billion higher than in the third quarter of 2024 and was 11% or Ps. 13.9 billion higher than the same period of last year. In fiscal year 2024, net fee income totaled Ps. 485.9 billion, 1% higher than fiscal year 2023. In the fourth quarter of 2024, net income from financial assets and liabilities at fair value to profit or loss totaled Ps. 134.9 billion, increasing 21% or Ps. 23 billion compared to the third quarter of 2024. This result is mainly due to profit from investment in derivative financial instruments. On a yearly basis, net income from financial assets and liabilities at fair value to profit or loss decreased 93% or Ps. 1.8 trillion. In fiscal year 2024, net income from financial assets and liabilities at fair value to profit or loss totaled Ps. 2.2 trillion, 5% higher than in the fiscal year 2023. In the quarter, other operating income totaled Ps. 48.8 billion, Ps. 153 million higher than in the third quarter of 2024. On a yearly basis, other operating income decreased 11% or Ps. 6 billion. In fiscal year 2024, other operating income totaled Ps. 214 billion, 35% higher than in fiscal year 2023. In the fourth quarter of 2024, Banco Macro's administrative expenses plus employee benefits totaled Ps. 261.8 billion, 4% or Ps. 10.4 billion lower than the previous quarter due to lower employee benefits, which decreased 2% and lower administrative expenses, which decreased 8%. On a yearly basis, administrative expenses plus employee benefits decreased 21% or Ps. 70.2 billion. In fiscal year 2024, administrative expenses plus employee benefits increased 11% compared to fiscal year 2023. As of the fourth quarter of 2024, the efficiency ratio reached 39.4%, deteriorating from the 36.3% posted in the third quarter of 2024 and the 13.6% posted 1 year ago. In the fourth quarter of 2024, expenses decreased 2% while net interest income plus net fee income plus other operating income decreased 9% compared to the third quarter of 2024. In the fourth quarter of 2024, the results from the net monetary position totaled a Ps. 221 billion loss, Ps. 85.6 billion lower than the loss posted in the third quarter of 2024 and 81% or Ps. 924 billion lower than the loss posted one year ago. Lower inflation was observed during the quarter, 410 basis points below the third quarter of 2024. Inflation was down from 12.1% in the third quarter to 8% in the current quarter. In fiscal year 2024, the result from the net monetary position totaled Ps. 2.4 trillion loss, 17% lower than the one posted in fiscal year 2023. Inflation in 2024 reached 117.8% compared to the 211.4% registered in 2023. In the fourth quarter of 2024, given Macro's effective tax rate was 26.6% lower than the registered in the fourth quarter of 2023. In fiscal year 2024, the effective income tax rate was 9.2% given the loss posted in the second quarter of 2024 and was lower than the 32.7% registered in fiscal year 2023. Further information is provided in Note 24 to our financial statements. In terms of loan growth, the bank's total financial reached Ps. 5.8 trillion, increasing 18% or Ps. 884.1 billion quarter-on-quarter and 45% or Ps. 1.8 trillion higher year-on-year. Within commercial loans, documents and others stand out with a 49% or Ps. 336.3 billion increase and a 15% or Ps. 137.6 billion increase, respectively. Overdraft decreased 26% or Ps. 192.5 billion. Within consumer lending, almost all product lines increased during the fourth quarter of 2024. Personal loans and credit card loans stand out with a 36% or Ps. 303.8 billion and 14% or Ps. 169.7 billion increase, respectively. In fiscal year 2024, Documents, Others, Personal loans and Credit card loans stand out with a 39%, 52%, 122%, and 31% increase, respectively. In the fourth quarter of 2024, peso financing increased 14% or Ps. 577.7 billion, while U.S. dollar financing increased 29% or $246 million. It is important to mention that Banco Macro's market share over private sector loans as of December 2024 reached 8.3%. On the funding side, total deposits decreased 3% or Ps. 299.3 billion quarter-on-quarter, totaling Ps. 8.4 trillion and increased 15% or Ps. 1.1 trillion year-on-year. Private sector deposits increased 2% or Ps. 147 billion quarter-on-quarter, while public sector deposits decreased 40% or Ps. 433.3 billion quarter-on-quarter. The increase in private sector deposits was led by time deposits, which increased 6% or Ps. 122.3 billion, while demand deposits increased 2% or Ps. 97.8 billion quarter-on-quarter. Within private sector deposits, peso deposits increased 2% or Ps. 106 billion, while U.S. dollar deposits decreased 18% or $587 million. As of December 2024, Banco Macro's transactional accounts represented approximately 65% of total deposits. Banco Macro's market share over private sector deposits as of December 2024 totaled 7%. In terms of asset quality, Banco Macro's nonperforming total financial ratio reached 1.28%. The coverage ratio measured as total allowance and expected credit losses over nonperforming loans under Central Bank rules reached 158.81%. Consumer portfolio nonperforming loans deteriorated 4 basis points, up to 1.44% from 1.4% in the previous quarter, while commercial portfolio nonperforming loans deteriorated 21 basis points in the fourth quarter of 2024, up to 0.88% from 0.77% in the previous quarter. In terms of capitalization, Banco Macro accounted an excess capital of Ps. 2.8 trillion, which represented a capital adequacy ratio of 32.4% and a Tier 1 ratio of 31.6%. The bank's aim is to make the best use of this excess capital. The bank's liquidity remained more than appropriate. Liquid assets to total deposits ratio reached 79%. Overall, we have accounted for another positive quarter. We continue showing a solid financial position. Asset quality remained under control and closely monitored, and we keep on working to improve more our efficiency standards, and we keep a well optimized deposit base. At this time, we would like to take the questions you may have.
Operator: Thank you. [Operator Instructions]. And today's first question comes from Ernesto Gabilondo with Bank of America. Please go ahead.
Ernesto Gabilondo: Thank you. Hi, good morning, Jorge, Nicol. And thanks for the opportunity to ask questions. My first question will be on macro expectations. So just wondering what are you seeing in terms of interest rates, inflation, GDP growth, FX for this year? My second question will be on your ROE expectations for this year. We understand there was a challenging 2024, especially for you in the second quarter. So how do you see the ROE recovering in 2025? And can you elaborate on the drivers for earnings growth this year? And when should we expect the ROE to return again to 20% levels? My last question is on asset quality. So we saw modest NPL deterioration, but sequentially higher provision charges. So I just want to double check if this is explained because you are building provisions based on expected losses. And how should we think about the cost of risk in 2025? And for that, what will be your loan growth assumption? Thank you.
Jorge Francisco Scarinci: Ernesto, good morning. How are you? This is Jorge Scarinci. Thanks for your questions. Well, first one, in terms of macroeconomic expectations, according to the latest economic data released by the government, the decline in -- of GDP in 2024 was close to 2% and the consensus for GDP growth in real rates for 2025 is 5.5%. Inflation is expected to be in the area of 25% for 2025, coming down a lot from the 118% that we got in 2024. According to the FX, the consensus for the market is expecting an FX of $1,250, that's the official one for the end of the year. And those are basically the most important macro estimates that we have right now. Sorry, I can add also in terms of fiscal accounts, the consensus is a primary fiscal surplus of 0.7% and a financial surplus that should be very close to zero, 0.1%. In terms of ROE expectations, yes, I agree with you that 2024 was not a good year. Basically, the second quarter was a poor one basically in relation to the performance of the bond portfolio. That's why we are forecasting that 2025 is going to be much better. We are forecasting an ROE range for 2025 that goes from 12% to 15%. And this is going to be fueled by increase in lending to the private sector. I would say that our estimate for loan growth in real rates for 2025 are 60%. And this is a consequence of what we are seeing that consumer lending is growing faster than what we had expected. And therefore, those type of loans where we can get the higher rates. So ROE should be based on this loan growth and should be ranging 12% to 15% in 2025. Honestly, when we come back to levels close to 20%, I would say that if economic conditions continue to be the ones that we are going to have in 2025, if we can extrapolate them to 2026, 2027, I think that by the end of 2026, we are going to be very close to the 20% ROE that you were mentioning, Ernesto. According to NPL deterioration, I mean, the 1.15% of NPL ratio that we posted in the third quarter was extremely good. But of course, this was a consequence of a small or short level of loan growth. In fourth quarter, we saw basically -- if we do not consider overdraft, basically, the overdraft is where we allocate part of the excess liquidity. So if we do not include that, loan growth in the fourth quarter was 25% up quarter-on-quarter and 56% up year-on-year in real terms. So as a consequence of this increase in lending, both increase in NPLs and also the increase in cost of risk. I think that in previous calls also in meeting with the investors, I have been saying that because of the increase in lending, we could be seeing some deterioration in NPLs and some increase in cost of risk. I would say that cost of risk in 2025 could be above 2%, could be reaching 2.5%. So that is what we are seeing for 2025 in terms of cost of risk and NPLs. So I don't know if I answered all your questions.
Ernesto Gabilondo: Yes. Super helpful. Just in terms of loan growth, I just want to double check, you mentioned you're expecting a 60% growth.
Jorge Francisco Scarinci: Yes, 60% in real terms growth for loan growth in 2025.
Ernesto Gabilondo: Okay. Perfect. And then in terms of doing the math on getting to an ROE of 12%, 15% for '25, that implies approximately a 100% net income growth for 2025. And as you mentioned, it will be driven by loan growth and then starting to see that into financial results and also likely because of lower monetary losses under such a low inflation level. Is that number correct to think about such a high earnings growth this year?
Jorge Francisco Scarinci: Yes, basically, we are targeting those levels. Again, the range is between 12% and 15%. And the drivers are the one that you mentioned before, loan growth, some fee growth, controlling expenses, lower inflation losses and the maintenance of the margins along 2025.
Ernesto Gabilondo: Perfect. Excellent. Super helpful. Okay. Thank you very much.
Jorge Francisco Scarinci: You're welcome Ernesto.
Operator: Thank you. And our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, Nicolas. Hi, Jorge. Thank you for the call. I have three questions regarding securities. How do you expect the weight of securities to evolve in 2025? And given the expected 60% growth in your loan book this year, will this growth will be primarily funded by the unwinding of securities or deposit growth? And finally, if you have any projections of how the loan-to-asset and security-to-asset ratio could look this year? Thank you.
Jorge Francisco Scarinci: Hi, good morning. Well, the securities portfolio is approximately 27% of total assets. We think that in 2025 by December of this year, we are going to see that ratio decreasing to levels maybe in the area of 20% or slightly below 20%. I mean, ideally, the funding for loan growth is going to come basically from deposit growth in pesos that we are expecting them to grow in the area of 35% in real terms. And of course, we are in a loan-to-deposit ratio below 100%. And part of that also is going to be financed by the reduction in securities. So I would say that 80%, which is going to come from deposits, 20% of the funding of loan growth is going to come from the reduction of securities portfolio.
Unidentified Analyst: Very clear. Thank you.
Jorge Francisco Scarinci: You're welcome.
Operator: Thank you. And our next question comes from Brian Flores with Citibank. Please go ahead.
Brian Flores: Hi team. Thank you for the opportunity to ask questions. I just wanted to make two questions. The first one is on capital consumption because we saw the data from the system. The system is already consuming between 200 and 300 bps per month. And it's very interesting to see that your numbers actually increased marginally, but they increased quarter-over-quarter. So if you could expand a bit on what is driving this and what we could expect? Jorge, you were mentioning expectations of growing 60% year-over-year. This would naturally consume and bring risk-weighted assets into the denominator. So I just wanted to double check here if the capital consumption that we should see is in line with what we're seeing for the system, maybe faster, maybe slower. But any color you could give us on that? And then I'll ask my second question later.
Jorge Francisco Scarinci: Hi, Brian, no, you're right. When you look at the table, the total capital requirement has increased 12% quarter-on-quarter and 130% year-over-year. I think that basically, you have some increase in part of the equity. It is very explained in the table there. But we are forecasting that the excess of capital of almost Ps. 2.8 billion that we have in the fourth quarter, of course, due to the high level of loan growth that we are forecasting is going to go down. We understand that the 31.6% Tier 1 ratio that we posted at the end of December is going to come down. Also, if you take into consideration the $300 billion that we are paying in -- Ps. 300 million, sorry, that we are going to pay in cash dividends in May of this year. So we are forecasting that the Tier 1 ratio by the end of the year should be in the area of 25%, 26% approx. But yes, it's -- what you mentioned is that there's capital consumption and more 2025 that we are expecting for the system also to grow fast in loans. So it is very important to know that we have the best capitalized balance in the Argentine banking sector. So we are much better prepared to continue lending and growing in lending compared to our peers.
Brian Flores: Perfect. Super clear. And then maybe a second question, if I may. You elaborated a bit on deposits. You mentioned expectation of 30% real growth in 2025. So I just wanted to expand a bit on that. Is there any particular strategy that you're pursuing to gain share or to compete? Because I know probably -- I know as you're mentioning, the first part of the allocation is mainly driven by the excess capital that you have. But at some point, as we go back into credit and as people are saying, right, banks becoming banks again, the organic sources of funds become more and more relevant. So I just wanted to check, because I think every bank is going to be competing very strongly for deposits. So I just wanted to see how you're thinking about the strategy to compete on this going forward? Thank you.
Jorge Francisco Scarinci: Well, in terms of -- I mean, deposits, there's going to be competition. I believe that there should be some marginal increase in maybe in deposit rate in time deposit rates. But when you look at the numbers in the fourth quarter, we grew 11% year-on-year our peso deposits and 24% our dollar-denominated deposits. We think that 2025, the increase will continue. I mean the -- sorry, the fiscal side or the government is going to demand less from the private sector. And therefore, we believe that the private sector is going to be increasing their deposits. The monetary base is going to continue increasing. So basically, those will be the drivers. But I agree that some competitions could create additional some pressure -- upward pressure on time deposits interest rates.
Brian Flores: No, that is super helpful. And if I just make a final comment on deposits. Do you expect more regulatory changes as the one we saw last week as to now use at some point, maybe finally deposits in dollars on the asset side of the balance sheet?
Jorge Francisco Scarinci: I think that the Central Bank is trying to work on different regulations and trying to maintain the efficiency and the solvency on the system. As far as we know, there should not be important regulation changes at least in the first four months of 2025. Honestly, we are not informed yet. Going [Technical Difficulty]
Brian Flores: Super helpful. Thank you.
Jorge Francisco Scarinci: Thank you.
Operator: [Operator Instructions]. Our next question comes from Carlos Gomez Lopez with HSBC. Please go ahead.
Carlos Gomez Lopez: Hello, Jorge. And thank you for the update. First, can you tell us anything about any upcoming management changes at the bank or whether you have any news there? Maybe you mentioned it earlier, but I didn't catch it. Second, on the deposits, if we see this correctly, there was actually a decline in dollar deposits between the third and the fourth quarter. And to go back to the question, when do you think that deposits start growing because private sector deposits only grew 2% quarter-on-quarter. Do you need higher interest rates for that to happen? And finally, to confirm, the dividend that you are paying is $300 million? Thank you.
Jorge Francisco Scarinci: Carlos, how are you? Yes, there's going to be some news on management, I would say, maybe in the short future. Basically in our new CEO, honestly, I cannot make additional comments, but there will be some announcements in the short run in relation to our CEO. That is the only news related to management changes that we are expecting. Second question in terms of deposits, yes, you're right, there was some decline in dollar-denominated deposits between the third and fourth quarter. Remember that on the third quarter, there was the full impact of the tax amnesty, that impacted in the system also in the bank. Of course, in the fourth quarter, we saw some decline in dollar-denominated deposits. Some investors were moving their deposits to maybe corporate bonds or some other type of investments in dollars that are not time deposits or saving accounts in dollars. Going forward, we think that in relation to this regulation of the Central Bank, there could be some, again, upward trend in terms of interest rates, not only in dollars, but could be also impacting in pesos. And those would be, I would say, the drivers that could be making deposits growing to the level that we mentioned in 2025. And in relation to your third question, yes, the dividend is going to be below $300 million if you take the unofficial FX rate of $1,200. So it should be in the area of $240 million.
Carlos Gomez Lopez: Okay. And so on rates, so what do you -- where do you expect the policy rate to be by the end of the year?
Jorge Francisco Scarinci: The policy in interest rates in the deposits, you mean, Carlos?
Carlos Gomez Lopez: No, the interest rate by the Central Bank, the reference rate.
Jorge Francisco Scarinci: No. I mean the consensus is showing some increase by the end of the year of 3 or 4 percentage points in the peso monetary interest rate by the end of the year.
Carlos Gomez Lopez: Okay. So an increase of 3% to 4%. Thank you.
Jorge Francisco Scarinci: Yes.
Operator: Thank you. There are no further questions at this time. This concludes the question-and-answer session. I would now like to turn it over to Mr. Nicolas Torres for final considerations.
Nicolas Torres: Thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking with you again. Have a good day.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.